Operator: Good afternoon and welcome to the Pioneer Power Solutions 2023 Second Quarter Financial Results Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Kim Rogers with Hayden IR. Please go ahead.
Kim Rogers : Thank you, and welcome. Joining us on today's call will be Nathan Mazurek, Chairman, and Chief Executive Officer; Walter Michalec, Chief Financial Officer, and Geo Murickan, President of Pioneer eMobility. Following management prepare comments a Q&A session will be open to the call participant. We appreciate the opportunity to review the second quarter 2023 financial results as well as discuss recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During this call, management will make forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements contained in the earnings release issued earlier today, which applies to the content of today’s call as well.  I'd now like to turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Kim. Good afternoon, and thank you all for joining us today. This was a great quarter for us with both divisions delivering strong performance resulting in record revenue that was up nearly 150% year-over-year for the second quarter, and a bottom line that was solidly profitable, excluding non-cash 1-time charges relating to stock-based compensation. The revenue growth reflects growing demand across both our business segments, and the profitability reflects better operating leverage, manufacturing efficiencies, and a more optimal product mix.  Notably, we are delivering better profitability even as we continue to invest significant monies primarily in our e-Boost business. Even with these large investments, we essentially generated approximately $0.05 per share in GAAP net income, if not for non-cash stock-based compensation charges, and we still expect to generate positive net income for the full year 2023. Both our segments are executing to plan so far. Our T&D solutions unit, which includes our e-Bloc power system and related products, grew revenue 263% to $9.2 million compared to $2.5 million for the second quarter of last year.  Indeed, year-to-date, T&D revenue was up 140% to $15 million versus last year's $6.3 million. Our critical power segment, which includes our e-Boost mobile charging platform, grew quarterly revenue 25% and year-to-date revenue 14% compared to last year. In addition, 100% of pioneer's revenue growth has been entirely organic. Gross margins in both segments have improved exponentially since a year ago. Notably, our T&D segment is now delivering consistent positive GAAP EBITDA, specifically $1.8 million in the second quarter up from a loss of $432,000 in the second quarter of last year, and positive EBITDA of $3.1 million year-to-date compared to a loss of $332,000 in the first six months of last year. In addition, our critical power segment has narrowed its losses and is moving towards a positive operating margin, which we fully expect to achieve for the full year of 2024. Our innovative and highly flexible e-Bloc solution has been and will continue to be a key driver in our strong performance. We now have hundreds of e-Bloc installations around the country, ranging from retail locations, health and hospital, manufacturing facilities, EV charging, and solar-based microgrids.  We continue to see new and large use cases for e-Bloc. These include water utilities, like the one we are delivering this year in California, where e-Bloc systems are being deployed as part of a sophisticated distributed energy system, enabling the water utility to better manage its power utilization, improved resiliency, better control costs, and reduce its carbon footprint.  Another growing market for us is data centers, where power consumption and resiliency are critical issues. This is a massive market that is just beginning to embrace distributed generation and turn away from traditional diesel-powered solutions. The emergence of AI has not only increased the demand for data centers but is more relevant to Pioneer's substantial increase in the raw power required by each data center. We secured our first e-Bloc data center order last year and expect to deliver on that project toward the end of 2024 carrying over to the beginning of 2025. We expect that a successful flagship-type installation of this particular project will serve as a model and leading to additional data center deployments with this particular customer, their construction partners, and hopefully other data center owners and developers as well. In addition, prior customers are returning, especially in the retail market, and ordering additional units for additional stores because e-Bloc works is providing the specific and is providing the specific benefits that they had all bargained for.  The distributed generation market continues to grow, as potential customers seek to utilize solar and other renewable sources, combined with battery storage to make energy resources more reliable, cost-effective, and environmentally friendly. As it stands today, the U.S. cannot expect to produce enough power over the next 10 years. To satisfy anticipated demand, making distributed generation a requirement, not an option for many enterprises. We're also delivering growth from our e-Boost mobile charging platform, and we continue to significantly invest in this business with expectations of further revenue acceleration. What started as a concept two years ago and a prototype, only first only in November of 2021 has become a rapidly growing product platform that is addressing a market that indeed did not exists several years ago. To date, in our e-Boost we have include most recently the city of Fairfield, California ordered an e-Boost trailer mounted unit to service the electric portion of Fairfield's public bus fleet.  This is our first award addressing the municipal transportation market. With government grants supporting the bus fleet electrification, and the growing environmental concerns, we fully expect this market to continue to grow for e-Boost. The autonomous driving division of a major global automaker ordered multiple e-Boost units to support the initial rollout of their autonomous electric vehicles in several cities. More and more cities are approving autonomous vehicles, including driverless taxis. This geographic expansion will lead to more demand for e-Boost to support these rollouts. Merchants Fleet, the large fleet management business, took delivery of two trailer mounted e-Boost solutions to be integrated into merchant's fleet's electric vehicle charging offering. We expect other fleet management companies to embrace e-Boost as well in order to facilitate the electrification of their fleets.  A major Northeastern transportation agency acquired a 75KW e-Boost mobile trailer for their fleet of buses and cars. We have provided two propane-powered mobile charging e-Boost systems to be deployed at a port in the state of California to fast charge electric vehicles imported from overseas manufacturing facilities. While the market for electric cars, trucks, and buses, in many ways was the first and most obvious application of our e-Boost system, we have learned from the experience of the last two years that the opportunities don't stop there. For example, almost all airlines have internal mandates to convert their ground service equipment from diesel to electric over the next several years. This could mean that each airline needs on demand mobile charging capabilities at almost every airport that they serve. Additionally, construction, mining equipment are transitioning to all-electric as well as watercraft and electric vertical takeoff and landing offerings where a mobile charging option is particularly important. Each of these trends requires flexible charging solutions. Each of these areas represents meaningful additional opportunities for us to fill the gap in the EV charging infrastructure over the next several years.  We also continue to innovate with e-Boost, with the goal of Supercharging, pun intended, our revenue and expanding our addressable market. This includes developing new variations of e-Boost. Specifically, we are building smaller units for emergency slash tow truck-type applications. We are designing less expensive lower powered options for concierge charging and similar deployments, and for certain users that absolutely demand a zero-emission mobile charging solution. We are working on battery-only configurations of e-Boost. We expect to unveil most of these product extensions before the end of 2023. Ultimately, we believe these additional offerings, all based on the successful, on prior successful versions we have already built will give us access to more use cases and many more potential customers. Based on our pipeline of e-Boost opportunities, we believe we will generate incremental growth in the second half compared to the first half of this year. And in addition, we expect e-Boost to begin contributing positive EBITDA to the full year of 2024. Our addressable markets are massive and almost every day, new use cases from current and new customers emerge. The energy transition era is real and Pioneer is at the edge of it offering proven competitive solutions.  With that, let me turn the call over to Walter, our Chief financial officer to discuss our financial results for the second quarter. 
Walter Michalec : Thank you, Nathan, and good afternoon everyone. As Nathan mentioned, this was a great quarter for Pioneer with both divisions delivering strong performances. Pioneer's second quarter consolidated revenue was $12.1 million, up $7.3 million or approximately 150% when compared to $4.9 million of revenue during the same period last year. Revenue from our T&D solution segment, which manufactures and integrates our e-block power systems increased 263% to $9.2 million during the second quarter. As compared to revenue of $2.5 million during the same period last year.  Revenue from our critical power segment, which manufacture and integrates our e-Boost mobile charging solutions was up 25% to $2.9 million during the comparable periods. Consolidated gross profit for the second quarter was $2.7 million, or a 22% gross margin, compared to gross profit of $63,000 were essentially breaking even during the second quarter of last year. The significant improvement to our gross profit and margin was due to higher revenue driving, improved manufacturing utilization of favorable sales mix of higher margin, e-Bloc power systems, and ATS equipment, and margin expansion in both segments as we continue to scale revenue.  Selling general and administrative expenses up $3.1 million were 25% of revenue for the second quarter of 2023, an increase of 20% when compared to $2.6 million in the year-ago quarter. Approximately $819,000 of the quarterly SG&A expense was related to 1-time non-cash stock-based compensation SG&A also includes approximately 750,000 in incremental investments in sales, marketing, personnel, and prototypes for our e-Boost solutions. This is intentional and targeted spending designed to drive demand for these new solutions.  We expect these investments to continue through 2023 as we build these new business lines and as they grow. Finally, higher wage costs, including salaries and benefits, contributed to the increase in SG&A expense. Our operating loss, which again includes 1-time non-cash stock-based compensation expense of $819,000 was $319,000 for the second quarter of 2023, a positive swing of more than $2.1 million compared to an operating loss of $2.5 million in the second quarter of last year.  If we back out the 1-time non-cash stock-based compensation pioneer generated operating income of approximately $440,000 during the second quarter, compared to an operating loss of approximately $2 million in the same period last year. Net loss for the second quarter of 2023 was $319,000 or negative $0.03 per basic and diluted share compared to a net loss of $2.5 million or negative $0.26 per basics and diluted share during the second quarter of 2022. It's important to note that the company has $14.2 million in NOL carry forwards as of June 30th, 2023, sheltering future income from federal income taxes.  Also, backing out the one-time non-cash stock-based compensation expense of $819,000. Pioneer generated a net income of approximately $500,000 or $0.05 per share during the second quarter, compared to a net loss of approximately $2 million or negative $0.20 per share during the second quarter of last year. Looking briefly at the year-to-date results, total consolidated revenue for the six months and the June 30th, 2023 was 20.6 million, an increase of 84% compared to $11.2 million during the first six months of last year. Revenue from the T&D solution segment increased approximately 140%, and revenue from the critical power segment increased 14% during the first half 2023, as compared to the same period last year. Total gross profit for the first six months of the year was $4.9 million or a 24% gross margin, compared to gross profit of $986,000 or approximately 9% of revenues for the same period in 2022. Loss from operations for the first six months of the year was $322,000 as compared to a loss from operations of more than $3.3 million during the first half of 2022.  One-time non-cash stock-based compensation for the first six months of the year and for the first six months last year was $962,000 and $716,000, respectively. Excluding stock-based compensation, Pioneer generated income from operations of approximately $640,000 during the first half of 2023, compared to a loss from operations of $2.6 million during the first half of 2022, a positive swing of more than $3 million. Our net loss for the first six months was to a $197,000 or negative $0.02 per basic and diluted share, compared to a net loss of $3.3 million or negative $0.34 per basic and diluted share during the same period of 2022. Once again, backing out the stock-based compensation expense Pioneer generated approximately $0.08 in positive EPS were $765,000 during the first six months of this year. Turning to the balance sheet. We had cash on hand of approximately $9.6 million and zero bank debt at June 30th, 2023, compared to cash of $10.3 million and zero bank debt on December 31st, 2022. This represents cash per share of approximately $0.98 on June 30th, 2023. Accordingly, we are confident that, we are sufficiently capitalized to address our near-term investments and cash needs.  We expect to deliver continued growth in the second half of 2023 with margin expansion and positive net income. Based primarily on our backlog, as well as the significant and accelerating demand for our new solutions, we believe we can grow revenue by at least 50% in the current year. Additionally, we expect to generate positive full-year net income and earnings per share. This concludes my remarks. I now turn the call back over to the operator for any questions.
Operator: [Operator Instructions]. The first question comes from Sameer Joshi with H. C. Wainwright. Please go ahead.
Sameer Joshi: Great. Thank you. Good afternoon. Nathan, and Walter, congratulations on the excellent quarter. Was there any surprises on the positive side on the top-line in terms of some deliveries getting expedited? Also, just wanted to understand, what made this quarter so great.
Nathan Mazurek: Yeah. I mean, this was -- thank you, Sameer, for your comments. It is kind of unfolded the way we thought it would. The quarter thankfully, there were no real surprises. There was a little bit of a hangover from the first quarter if you remember. There was one larger, or not really so large, but there was one job that kind of couldn't shift the last day of the first quarter, and that hungover into the second quarter of this year. But we stand by the guidance that we gave for the years. So, I mean, you can all do the math, you can -- the second half of the year will come in and what will come in and we fully expect to meet or hopefully even exceed a little bit the guidance for the year.
Sameer Joshi: That's what it looks like. But specifically, on the backlog and your guidance the second half, what proportion of this expected revenues would come from E-Block and e-Boost?
Nathan Mazurek : Yeah, so the vast majority is coming from E-block, especially the second half of this year. As we said in the prepared remarks or incrementally, e-Boost will have a better second half than it had the first half. So that's sort of a little bit of a wild card contribution that we generally don't have such good visibility as to when those things end up shipping and realizing the revenue. So that should be make even the second half a little bit stronger. But, that's the mix.  E-block is driving it very hard here for 2023. We expect it to drive it hard for 2024, but we expect, and where it's too early to talk about 2024. But I hope that in the prepared remarks that came across that we're expecting a substantially stronger year on the e-Boost side in 2024. 
Sameer Joshi: And will you remind us if e-Boost is going to be a better margin product? And maybe as revenues increase profitability may improve. 
Nathan Mazurek : Yeah, I mean, it should track that way. We definitely get better. The issue with e-Boost, it's all new, so there's some on our part, there's some missteps. Every single one is custom. There is no model for how to price a lot of these things. And so far, it's been all over the place, you know? Better than sometimes expected and then sometimes worse. So, we don't -- we just don't have enough -- we don't have enough units under our belts yet to project the margin. We go in with great expectations, but we've never for the plus or the minus hit exactly what we thought.
Sameer Joshi: On the e-Boost, you identified these new markets and airlines, mining, construction -- are you already -- do you have leads into this or are you already receiving orders from these sectors?
Nathan Mazurek : We haven't received any orders from those segments, but we are in serious discussions with all of them. And these are segments that, I didn't know anything about months ago. These emerged, and through the hard work of Geo and his team and through getting the proper word out and trying to make e-Boost synonymous with the mobile charging solution, that's how these opportunities are coming our way. 
Sameer Joshi: Understood. In terms of capacity and also some of the product development for e-Boost, is there any additional incremental CapEx and OpEx, R&D dollars expected in the second half?
Nathan Mazurek: No, we're hopefully spending less on R&D on e-Boost and more towards capital expenditures that expand the actual capacity for e-Boost. Because we're coming to the limits, this year we'll test the limits of what we need to deliver in Minneapolis. So, in order for that business to really grow, we just physically can't do it. I don't think it's going to be -- we're not doing heavy work. So, it's not I don't think that, we don't have a budget for it, but it should not be outside our reach. And in the case of e-Bloc, each year we think we're at statistical 100. We're trying to do everything possible to enhance and be more efficient in the current facility in Los Angeles because the operating -- we're getting the benefit now of the fixed overhead and so forth, and just to expand physically and lose some of that advantage from a profitability. I'm a load to do that right away. 
Sameer Joshi: Understood. And then this last one on the SG&A expense, GAAP expense side. In the last 2022, we saw this stock-based comp in 2Q being higher, and then 3Q, 4Q were again normalized, should we expect the same cadence of stock-based comp for the next second half, as the second half… 
Nathan Mazurek: I'm not expecting it. So, I guess the answer is no. It was done, again, it's all fully disclosed. Last year was an arrangement we made to keep our CFO incentivized to stay with us for the long term. And I was granted a stock grant by the board, a couple of months ago, and that manifested itself in the second quarter. So, I don't -- we don't know of any other awards. 
Sameer Joshi: Yes. So OpEx on the GAAP basis will be coming down in the second half. 
Nathan Mazurek: Correct. 
Operator: [Operator Instructions]. The next question is from Scott Weiss with Semical Capital. Excuse me if I mispronounced. 
Unidentified Analyst: Congrats on the great quarter. I have one question on the demand side, you talk about all these newer opportunities and new verticals. Is there something that's happened in the last quarter, two quarters that has caused this inflection that you are seeing in demand? And then related to that, which vertical are you most excited about as you look out over the next 12 months to 18 months? 
Nathan Mazurek : Yes, so I mean, we still think of the business in two parts. Both are experiencing strong demand. So, on the e-Bloc side that the demand, the big markets, I think I flagged them, that we expect to get greater volume and profit from our water and data centers. That's where we see a match to what's going on with distributed generation, and people that are taking their power needs extremely seriously on every level. On the e-Boost side, what's really going to drive it in the next year or so, is still going to be the traditional mobile chart. It's traditional, it's not traditional, but the initial thought the reasons we launched e-Boost, which is going to be cars, buses, and trucks, those electric offerings. But there is a push, and I don't think we will get one order from an airline in 2023 or maybe not even for most of 2024, as their transition to electric is going to definitely take them longer. But it's pushing against the fence. And they're taking it very seriously. They won't make that move as quickly as the vehicle market yet, but we see this kind of as a long tailwind. I want to believe that construction equipment's gonna go this way, but it is. Is it going to do it next year? It's not going to do it next year, but it is going to make the transition over the next several years.
Unidentified Analyst: Can you dig into the data center side on e-Bloc for a second? Going back, say, a couple of years, were data centers using this kind of technology? And what inning are we in penetrating the data centers and who else is providing this technology into data center market besides you?
Nathan Mazurek : I you know, the date -- technology exists who's doing it in a compact, simple structure that is proven to work in critical applications where there is no there is no room for error that I can't answer. As they get away from thinking of just regular power from the grid and backup power from diesel sets as they start integrating other power sources into what they are doing for a variety of reasons, we are hoping that this first project really serves as our planting the flag in that beach, and here it is. And it works. Everybody wants a seat. So, what's gonna happen? They went away from diesel they are using natural gas and they are using natural or whatever they are whatever this particular user.  They're using a combination of several sources that everything switched in nanoseconds. Was there any failure? Was there any this? What was the service? I think that's -- then they don't have a choice after that. They don't want to be they don't wanna be people that are using diesel when they don't have to.
Unidentified Analyst : Okay. Great. Thank you. Appreciate it.
Nathan Mazurek : Alright, Scott. See you in a few weeks in Chicago.
Operator: The next question is from David Kreinberg with Globus Capital. Please go ahead.
David Kreinberg: Hi. Good afternoon. Congratulations on the fantastic quarter. Just a quick question. The locked retailer that you had last year, I think it was $12 million of revenues. Is any revenues expected from them in the guidance this year?
Nathan Mazurek : No. We went out without any expected revenue from them.
David Kreinberg: Right. So, if I look at last year, I think $12 million out of your $27 million was from that one customer. So, if I back that out, through without them, you were actually going from 15. you are almost tripling the business, X that one customer this year. Is that right?
Nathan Mazurek : Almost 100%, right? Some of it hung over into the first quarter, over the year.
David Kreinberg: Okay. So, there is, a little bit of revenues in that.
Nathan Mazurek : There is a little bit of this year. Correct. But then, we did the...
David Kreinberg: Go ahead.
Nathan Mazurek : The potential is, as we have said, they have targeted almost 500 stores. You know, we've delivered 63. I can't speak if anything else is going on, but I'm expecting hopefully some more good news from them sometime this year, which would mean that we would deliver it sometime in 2024. But, I don't have anything in my hand today to announce.
David Kreinberg: Okay, great. Congratulations again.
Nathan Mazurek : Thank you, David.
Operator: This concludes the question and answer session. I'd like to turn the conference back over to Nathan Mazurek for any closing remarks.
Nathan Mazurek: Thank you, operator. Thank you all for your time and support and we look forward to updating you again on our next call. 
Operator: The conference is now concluded. And thank you for attending today's presentation. You may now disconnect.